Operator: Good afternoon. My name is Sarah, and I will be your conference operator today. At this time, I would like to welcome everyone to the 8x8, Inc. Fiscal First Quarter 2022 Earnings Conference Call. I will now turn the call over to Jennifer Graham Clary for the introduction.
Jennifer Graham Clary : Thank you. Good afternoon. Today's agenda will include a review of our first quarter results with Dave Sipes, Chief Executive Officer; and Samuel Wilson, Chief Financial Officer. Following our prepared remarks, there will be a question-and-answer session. Before we get started, just a reminder that our discussion today includes forward-looking statements about 8x8's future financial performance as well as its business, product and growth strategies, including the impact of the COVID-19 pandemic. We caution you not to put undue reliance on these forward-looking statements as they may involve risks and uncertainties that may cause actual results to vary materially from forward-looking statements as described in our risk factors in our reports filed with the SEC. Any forward-looking statements made on this call and presentation slides reflect our analysis as of today, and we have no plans or obligation to update them. Certain financial measures that will be discussed on this call, together with year-over-year comparisons in some cases, were not prepared in accordance with the U.S. Generally Accepted Accounting Principles, or GAAP. A reconciliation of those non-GAAP measures to the closest comparable GAAP measures is provided with our earnings press release and earnings presentation slides, which are available on 8x8's Investor Relations website at investor.8x8.com. With that, I will now turn the call over to our CEO, Dave Sipes.
David Sipes : Good afternoon, everyone, and thank you for joining us today. Our first quarter results exceeded expectations with both service revenue and total revenue growing above the high-end of our guidance range at 21% and 22% year-over-year, respectively. Key drivers of growth were strong demand for our integrated UCaaS and CCaaS, offering continued upmarket focus on the enterprise, channel execution and our CPaaS business. We are driving operational excellence throughout our organization and culture that is committed to a CPT mindset, customer first, product first, team first. We strengthened our cash position and improved operating profitability on a non-GAAP basis. Last quarter, we laid out our vision for the next 3 to 5 years and listed 4 major focus areas for fiscal year '22: One, expanding our platform advantage; two, winning together with partners; three, driving operational excellence; four, expanding the base. I would like to use these as a framework for today's update. First, we are working aggressively to expand our platform advantage, specifically at the intersection of UCaaS and CCaaS, focusing our R&D investments to enhance the enterprise-grade elements of our contact center and maximize the intersection and unique use cases between UCaaS and CCaaS.  During the quarter, we launched the following products and updates. Capitalizing on the demand for integrated UCaaS, CCaaS and CPaaS offerings, we launched XCaaS, eXperience Communications as a Service for customer and employee engagement. This solution advances the cloud communications industry by breaking down the silos between UCaaS and CCaaS to optimize the employee and customer experience. We are receiving broad recognition from industry analysts, channel partners and customers for fulfilling this need as organizations move to the cloud at a rapid clip. Recent competitor announcements validate this vision and highlights our strong leadership position with XCaaS. We are very proud to be delivering today what others are only now envisioning for the future. Customers have also embraced XCaaS, resulting in now 1/3 of 8x8's ARR and growing over 30% year-over-year. Let me highlight a few recent examples. Wren Kitchen, a privately owned British designer, manufacturer and retailer of kitchens with 91 stores nationwide, chose 8x8 XCaaS to replace their legacy on-premise systems. They will deploy more than 4,000 employees, including 400 contact center agents and will use analytics and reporting capabilities to gain deeper insights to ensure an optimal customer experience and support rapid business growth. Additionally, one of the oldest and largest privately held construction companies in the U.S., JSJ, selected 8x8 XCaaS to gain better operational visibility across 8 entities and 200 locations. The integrated CCaaS and UCaaS solution will support more than 1,600 employees, fully integrated with their Compass and Salesforce software platforms and use speech analytics and quality management to drive improvements in customer experience and to help upskill their agents. Public and government sector was a bright spot growing globally. In the U.S., we won Cochise, a public community college in Arizona with over 10,000 students. They needed to replace an aging, failing on-premise communication system and selected 8x8 UCaaS for its ease of use, flexibility and call handling capabilities to support more than 500 employees. Also in the U.S., we won Central Unified School District, which serves more than 15,000 K-12 students in Fresno, California. They needed a more reliable communication solution with a lower total cost of ownership. After a thorough review process and a 30-day proof of concept, they selected 8x8 UCaaS to support more than 1,500 employees across 24 schools.  In the UK public sector, we're experiencing strong referenceability and word of mouth referral, further solidifying our leadership position. Key wins there include Police, Fire and Crime Commissioner for Essex, which provides policing, fire and rescue services for the County of Essex in the East of England and supports 1.8 million citizens. The Essex County Fire & Rescue Service selected 8x8 UCaaS and 8x8 Voice for Microsoft Teams to improve their communication capabilities across 50 fire stations and more than 1,400 members of staff. Additionally, Kent & Medway NHS and Social Care Partnership Trust, an NHS provider of secondary mental health care, selected 8x8 XCaaS for 3,200 seats to improve patient safety and experience. 8x8 XCaaS will integrate with key ICT platforms provide cost efficiency improvements year-on-year, enhance security compliance and enable a work-from-anywhere experience for staff. Our CPaaS portfolio of APIs and embeddable applications performed strongly in Q1. The focused strategy to extend leadership in Southeast Asia is already paying dividends. We recently announced that Coca-Cola, Europacific Partners Indonesia is using the 8x8 CPaaS SMS API to provide more than 460,000 large and small retail outlets with a secure mobile experience for managing orders and deliveries. Viriyah, one of Thailand's largest insurance companies is using the 8x8 CPaaS video interaction API to enhance customer experience by enabling customer-facing video as part of their mobile claims service. And thirdly, WeCare.id is the first medical-based crowd funding platform in Indonesia, built specifically to help patients raise funds for their treatment. They selected the 8x8 CPaaS SMS API for onetime password verification and donation notifications.  Additionally, Jitsi as a Service, or JaaS, has grown its developer base by 4x quarter-over-quarter as customers continue to embed a complete and secure meetings experience into web and mobile applications. We now have over 10,000 developers signed up. Furthermore, we recently released support for 500 active video meeting participants across our entire video meetings platform, including JaaS. Industry analysts are rallying around our vision for XCaaS. The market is responding, and we continue to receive recognition for our best-in-class integrated UCaaS and CCaaS solution. Recently, we were named a leader in both the 2021 Aragon Research Globe for Unified Communications and Collaboration as well as the 2021 Aragon Research Globe for Intelligent Contact Centers. Furthermore, we received Frost & Sullivan's Global Competitive Strategy Leadership Award for integrated employee and customer experience management solutions. Our second major focus area is to make 8x8 the easiest to do business with and win together across channel partner relationships by leveraging our differentiated wholesale and agency billing models and a partner-first strategy. Let me begin with our channel-first strategy and upmarket focus, which delivered strong results. We had a record quarter upmarket with over 820 customers with greater than 100,000 in ARR, a 36% increase year-over-year. Enterprise was our strongest customer segment, up 40% year-over-year and now representing 49% of our ARR. Channel growth was over 35% year-over-year as our momentum continued to build. We formed several key partnerships in Q1. We formed a strategic channel partnership with Sandler Partners, America's fastest-growing master agent and distributor of connectivity and cloud services, providing 8x8 XCaaS to their more than 9,000 technology partners. We also enrolled Callstats into the Genesys AppFoundry for enabling next-generation WebRTC monitoring, and we enrolled in the AWS Solution Providers Private Offers marketplace. During the quarter, we continued our rapid pace of Teams innovation by adding present synchronization to previously announced capabilities such as SMS, MMS and fax. This led to significant adoption and larger deal sizes for our Microsoft Teams offering as well as opportunities to sell additional capabilities such as our 8x8 XCaaS contact center solution, a Microsoft certified for Teams contact center solution. Some wins include Infinite Electronics, a leading global supplier of electronic components, who sought a single vendor platform with high availability. They selected 8x8 XCaaS integrated with Microsoft Teams to provide over 500 employees across the U.S., Mexico and China with resilient and consistent communications and contact center capabilities. Additionally, a global biopharmaceutical company sought a single vendor communication platform with MS Teams integration. They selected 8x8 XCaaS with Voice for Microsoft Teams to improve employee and customer experience for 1,200 employees and 30 contact center agents. And we recently announced that a leading provider of supply chain services, Archway Marketing Services, selected 8x8 XCaaS and 8x8 Voice for Microsoft Teams to support their technology enhancement initiative after experience issues with their legacy on-premise systems. We quickly deployed the first of their 13 locations in 72 hours, and we will support 750 UCaaS and 70 CCaaS users. Our third focus area is to drive operational excellence throughout the organization. In this regard, we increased non-GAAP gross margins sequentially from 61.2% to 62.6%. We continue to show financial leverage in our model, growing operating margins and cash from operations. We launched the industry's first and only financially backed platform-wide five nines or 99.999% SLA across an integrated cloud UCaaS and CCaaS solution. This sets a new industry benchmark for cloud communications reliability. In reference to org matters, Ken Berryman will be promoted to Chief Sales Officer effective August 6, reporting to me; and our Chief Revenue Officer, Steve Seger, will be leaving the company. Additionally, in the quarter, we hired Colin Carmichael to be the company's first-ever CIO. Our fourth focus area is to expand and defend our base. Q1 represented very strong growth with our installed base, which I'm proud to say, now exceeds 2 million paid business users. Customers appreciate our ability to mix and match solutions to meet their needs as they move to the cloud. Examples include Buckinghamshire Council, which provides services for around 800,000 citizens in the region, realized the value of 8x8 XCaaS, having previously deployed 8x8 UCaaS across the organization for 4,500 employees. They have now added 250 CCaaS seats to further improve customer experience. Another land-and-expand win is Calibre Group, which provides learning solutions for millions of licensed professionals. They use 8x8 XCaaS to support enhanced customer engagement and the shift to hybrid work for more than 500 employees, including 200 contact center agents. This quarter, Calibre Group extended XCaaS, adding speech analytics to capture insight and sentiment on every customer interaction with the ability to review and deliver comprehensive agent evaluations and coaching for voice, chat, SMS and social interactions.  Furthermore, nVent, a high-performance electrical company, continues to add 8x8 XCaaS to more locations. They added more XCaaS and Microsoft Voice for Teams seats to support employees in the U.S., Canada, Mexico and Germany, bringing their total global seat count to nearly 1,600. Additionally, we hired Walt Weisner to be our new Chief Customer Officer. Walt is a seasoned customer care leader in the cloud communications SaaS industry, who is responsible for delivering a superior end-to-end experience for 8x8 customers globally. To summarize, the first quarter of fiscal 2022 was a significant step forward in the plan I laid out last quarter. We beat our financial goals and are raising the bar in fiscal year 2022. We are well positioned to further extend our industry leadership with our customer-first, product-first, team-first CPT culture, our integrated platform advantage and our future growth drivers. Our strategic vision and direction of a unified cloud offering with XCaaS is being validated in the marketplace, and we're proud to be delivering today what our competitors are envisioning for the future. Now, I will turn the call over to Sam to cover the finances.
Samuel Wilson : Thanks, Dave, and good afternoon. We are pleased to have delivered results that exceeded guidance and improved operating leverage. Key drivers were better-than-expected performance from product categories, XCaaS, standalone UCaaS and CCaaS, and especially, CPaaS. Total revenue for the quarter was $148.3 million, an increase of 22% year-over-year and above our $142 million to $143.5 million guidance. Usage revenue did not sustain a seasonal slowdown. We had a solid quarter from professional services and hardware shipments were stronger than expected. Looking at service revenue, we generated $137.8 million, an increase of 21% year-over-year and above our $132.5 million to $133.5 million guidance. We do not see the seasonal dip in telecom usage revenue customarily experienced during the early summer probably due to regions reopening. Additionally, we witnessed our CPaaS business accelerate quarter-on-quarter. Total ARR was $536 million at quarter end, up 24% year-over-year. Our strategic investments in the channel and product innovation over the last several years are delivering solid results. I want to remind investors that we announced last quarter we were exiting the CPaaS wholesale business. In fiscal 2021, CPaaS wholesale services contributed $15 million in service revenue and essentially zero operating margin. Rationalizing these services will be a near-term 300 basis point headwind to service revenue growth rates in fiscal 2022, and is already incorporated into the fiscal '22 guidance I will provide shortly. We believe this is the right decision to concentrate our resources on our core market opportunities. For the quarter, the part of the business we are exiting contributed roughly $1.1 million in service revenue and little margin. We ended at a zero run rate to -- at quarter's end. First quarter non-GAAP gross margin was 62.6%, as expected, higher sequentially as we finished restructuring our wholesale business, which we discussed on the last earnings call. Non-GAAP service revenue margin increased approximately 170 basis points over the previous quarter to nearly 69%. Non-GAAP other margin came in at minus 19.6% for the quarter, an improvement from the minus 34.7% a year ago, however, sequentially worse than the minus 12.5%. We have started making strategic investments in deployment capacity along with bringing in a new Chief Customer Officer. We expect to further invest in 2Q. In total, gross profit dollars grew 24% year-over-year as we focus on higher-margin business. Looking ahead to the second quarter, we currently expect overall gross margins to improve due to programs we have started to reduce COGS as a percentage of total revenue. Turning to first quarter operating expenses. As we talked about on our last call, now that we are profitable on a non-GAAP basis, we have started to reinvest in the business to accelerate revenue growth. These investments have started, and we expect to begin to see the results by the end of FY '22 or early FY '23. Total spending as measured by COGS plus R&D plus sales and marketing plus G&A was up 13% year-over-year, below our 22% total revenue growth. As stated on our last call, we plan to grow total spending below total revenue growth and maintain our profitability on a non-GAAP basis. Non-GAAP operating margins were plus 0.9% for the quarter as we continue to move towards our exit FY '22 at approximately 2% goal. Turning to the balance sheet. Total cash, restricted cash and investments ended the quarter at approximately $162 million. Excluding $8.6 million of restricted cash, the balance was $153.2 million, an increase of approximately $363,000 quarter-over-quarter. Cash from operations was positive $4 million for the quarter. We expect cash from operations to be around breakeven for 2Q, probably burn in 3Q before returning to positive in 4Q. One final item under liabilities I'd like to discuss is deferred revenue, which increased to nearly $25 million during the quarter and is up 133% year-over-year. We have moved towards billing contracts in advance of service delivery and expect deferred revenue to grow on the balance sheet. RPO was approximately $530 million for the first quarter, up from $500 million in the fourth quarter. As a reminder, we made a policy change in 4Q to conform to industry norms. Please see the transcript for more details. Turning to the financial outlook. As we enter the second quarter, we continue to focus on making changes discussed in our first quarter strategy update, including exiting poor margin business, instituting sales and marketing changes and making incremental investments focused on accelerating revenue growth. Taking all of this into account, we have established guidance for 2Q fiscal '22 ending September 30, 2021, as follows: We anticipate total revenue to be in a range of $147.5 million to $149 million, representing approximately 14% to 15% year-over-year growth. While this is slower quarter-over-quarter growth, please note the first quarter included $1.1 million in wholesale business that we exited by quarter end. We anticipate service revenue to be in a range of $138.5 million to $139.5 million, representing approximately 15% year-over-year growth. We anticipate to be operating margin positive on a non-GAAP basis. Combining our outperformance for the first quarter with outlook, we are raising full year guidance for full year fiscal 2022 ending March 31, 2022, as follows: We are raising total revenue outlook from $595 million to $605 million to a new range of $604 million to $612 million, representing approximately 13% to 15% year-over-year growth. We are raising our service revenue range from $555 million to $565 million to a range of $564 million to $572 million, representing approximately 14% to 15% year-over-year growth. We are maintaining our guidance of 4Q non-GAAP operating margin of roughly 2%. Based on feedback from discussions we've had with the investor community, we made several changes this quarter to our IR metrics. I'm hoping this isn't a surprise as we have signaled on previous calls, the changes were coming. During the first quarter, we made progress towards our long-term operating model shown on our last quarter. With that, thank you, and let me turn the call over to the operator for questions.
Operator: . Our first question comes from Matt VanVliet with BTIG.
Matt VanVliet : Nice job on the quarter. You talked a lot about a lot of channel recognition and industry analyst recognition, and it sounds like it's coming through on the channel bookings growth that you mentioned. But curious if you could give us a little more context in terms of where you're seeing the most success? And maybe how Europe and the UK specifically are really driving that? It sounded like a number of large deals came from UK. So just curious where you're seeing the most success and whether there's still room to grow in the channel?
David Sipes : Yes. This is David, and thanks for the congrats on the quarter. The -- we're seeing strong momentum on our XCaaS product, which goes -- absolutely integrated contact center and UC product. And we're seeing it across all customer segments, but especially in -- you saw the growth in enterprise and growth in the -- you mentioned in the UK. We've been very strong internationally in the UK as well as UK public sector have been strong verticals for us. But we also see, in a land-and-expand perspective, ability to add contact center into UC seats that is allowing us to get more products into our current customers, which helps improve overall average revenue as well as retention rates, improve as you get multiple products into customers. So I think that the strategy is resonating with from the customers first. And then our job at this point is to go educate our channel as to those advantages and our own sales team and organization. So those are some of the efforts we're doing to reinforce that positive momentum.
Matt VanVliet : That's helpful. And then, Sam, on the side of, I guess, investments in further growth initiatives here, it seems like they're starting to pay off the ones you made over the last year plus. Curious where we're at in terms of duration? Are we pretty much through most of the bigger step function investments now that we've gotten a fair amount of new executives in? Or do we still have a few more quarters ahead of us where -- I know you mentioned the cash burn, but just what we should think about in terms of overall production and margin leverage from here forward?
Samuel Wilson: Okay. A couple of things there. So first off, I mean, we reiterated we want to exit the year at a 2% operating margin and no more. I mean this is very much now that we're back to being non-GAAP profitable being on offense and accelerating our revenue growth as we get into fiscal '23. And so I would say, I don't really view the investments as chunky as much as a continuous stream of increasing our marketing spend, increasing our sales capacity and putting more R&D dollars towards contact center and those types of things on an ongoing basis. And so I would just kind of expect kind of slow linear growth of operating margin towards that 2% exit number as we continue to reinvest in accelerating revenue.
Operator: Our next question comes from Meta Marshall with Morgan Stanley.
Meta Marshall : Great, and congrats on the quarter. I just wanted to ask kind of the CCaaS and wholesale business stats you gave just for a second just so I can have some clarity. So are you saying that you didn't see as much of a headwind as expected in this quarter because you still had $1.5 million of the headwind -- you still had $1.5 million on the wholesale business? And then second, if you could just give whether there was any headwind on the ARR from just kind of rewinding down of that wholesale business? Or if that’s a pure -- what was to consider a pure number at this point?
Samuel Wilson: Okay. So I will take that. So it's $1.1 million. So as we mentioned on the last earnings call, we were exiting the business, and it took a little bit of time going into this quarter as we were ramping it down in April and May. And so for the quarter, we had $1.1 million of what we consider wholesale business. We exited the quarter at a zero run rate. So we fully exited by quarter's end. Yes, there is a little bit of headwind in ARR. It's immaterial. I don't know, it's $1 million, I'd be surprised. I don't know the exact number off the top of my head, but it's a very small number, but it is there. So those 2 things combined. So all I was trying to reiterate there is that two things: One is that we exited most of the business throughout the quarter. We didn't produce much revenue, but we did produce some that's not repeatable.
Meta Marshall : Okay. And then just -- sorry, one last follow-up on that. Just on the stat about the CPaaS business growing sequentially. That would -- it wouldn't be CPaaS including -- you didn't grow it more than kind of the removal of the wholesale. The ex-wholesale business grew sequentially is what you were saying, right?
Samuel Wilson : Yes, you're 100% correct. I should have been more clear when I said that. Yes, what we're talking about is the core non-wholesale business grew sequentially and fairly nicely sequentially.
Operator: Our next question comes from Mike Latimore with Northland Capital Markets.
Mike Latimore : Yes. Great. Excellent quarter there. On the gross service gross margin, obviously improving with the removal of the wholesale business, but is that kind of a sustainable level to sort of close to 69% level?
Samuel Wilson: I'll take that one. Yes, and I will probably be fired if I don't go up from here. So it is a topic with Dave all the time that we'd like to get our service gross margin to go higher. It's not necessarily going to go linearly up every quarter, but it's definitely an objective of ours to get it higher over time.
Mike Latimore : Okay. And then you listed a number of good international wins. Any update on what international is percent of ARR or bookings or something like that?
Samuel Wilson: If you have a third question, ask that real quick and I will pull the number real quick from you. It will be in our 10-Q tomorrow, and I just need to get that real quick.
Mike Latimore : Okay. Got it. I guess just on -- you said CPaaS was strong. So just the CPaaS that's left, are you selling primarily to developers? Or is this -- I think you also wanted to cross-sell into your contact center business, too?
David Sipes : Yes. We're experiencing both. It's predominantly a developer business. You see that in the Coca-Cola business we won in Southeast Asia and the other wins that we had there. But we're also seeing XCaaS customers that they're leveraging our CPaaS and several solutions. And one example this quarter that we didn't mention earlier, but is Alliance Medical in the UK. And they added messaging capabilities to an existing excess deployment, and they're using that for customer alerts for appointments with doctors. So that's one example. So we do get both.
Samuel Wilson: All right. And revenue for the quarter, United States $103.7 million; and international, $44.7 million. There is some rounding in there. Okay, thanks a lot.
Operator: Our next question comes from Peter Levine with Evercore.
Peter Levine : Congrats on good quarter. You recently called out UCaaS. So maybe 2 questions. What investments or gaps in CCaaS are you filling or you feel are missing today? And give us your view or thoughts on the Zoom-Five9 acquisition? Just curious to know what your initial reaction was and your thoughts on how perhaps changes the competitive landscape?
David Sipes : Yes. So on that combination, those are 2 platforms we compete with today. So fundamentally, the landscape doesn't change the landscape. I do believe it's a validation that other people are coming to the vision that we have of XCaaS, which is bringing UC and CC together. And it's really being driven by the customer demand for that solution. I do think you can draw a few conclusions from that. One is, the era of build your own contact center is over. It is a -- we've been saying at the 10-year build extreme functionality. And it is something that is not known or we haven't talked about it before, but our contact center business is over $100 million revenue run rate and approaching 40% year-over-year growth and under the 6 time Gartner Magic Quadrant challenger. So it's hard or you can't go and develop that yourself today. The other is -- I think it's less obvious, but the era of partnering is ending. And while this was fine when there weren't other solutions for customers to be partnered between UC and CC solution. I think customers, they want more. They want more integration. They want more manageability long term with integration frameworks that work well, and they want a single vendor reliability across that. So I do think we're entering the era of the owned and integrated UC and CC product, and that's an area where we continue to be farthest along on an integrated solution in our XCaaS and message, which we did an industry analyst event since the last call, has been well received. And it's now 30% of our business or over 1/3 of our business growing at 30% year-over-year. So that's where we see the industry and where we see it going and it's really being driven by customer demand.
Samuel Wilson: For the first part of your question, which is on contact center gaps, well, I don't think we really have gaps as much as we continue to push up in scale, some more concurrent agents, more capacity to handle larger and larger contact centers, and then just continued expansion really down the omnichannel side. So more social, more types of chat, more languages. We added a bunch of translation capabilities sort of to handle 116-plus languages on the platform this quarter, those kinds of things. So it's really about pushing the scale boundary and the feature boundary to enable larger and larger enterprises to move to the cloud.
Peter Levine : And then maybe one last one for you, Sam. What are your hiring plans or goals, I think, here in the second half? How is hiring trending? Curious to know how -- what retention looks like given kind of the nature of kind of how competitive it is in the environment today?
David Sipes : Look, we're a very global organization, and our hiring has been strong. And we're having success in many markets. So we're not strictly Silicon Valley-based organization, and we're catering to our employees' needs, too, for mobility and hybrid workforce. So we're very pro team, team first element to our employee base, and I believe we're having strong success in that, yes.
Operator: Our next question comes from Will Power with Baird.
Will Power: Okay. Great. Yes. I guess, first question. I just want to come back to the strong enterprise growth. It looked like really nice numbers in the quarter, both the customer growth, 100,000 ARR customer growth, both sequentially and year-over-year. So I just would love to get any further perspective on the key drivers of that. How much of that is the market coming to you versus channel improvement? How much is XCaaS contributing to that? Just trying to better understand the key drivers there.
David Sipes : Yes. So our future there is really the XCaaS elements, and it's a perfect fit for our mid-market and enterprise customers. So you do see the cross-sell elements into that for the enterprise, and alongside that is our channel alignment. We had the addition of Sandler Partners in the quarter. I do think there's opportunities for more channel partners such as Sandler as well as greater enablement of those organizations, which we're doing with our XCaaS messaging.
Will Power: Let me just ask you just kind of along those lines. As you think about go-to-market for XCaaS, where are you in that evolution? I mean as you think about your key channel partners, are 50% of them pushing XCaaS? I mean how many of them really understand the combined solution opportunity?
David Sipes : Yes. I mean this is -- we're early in that. And even in our own sales organization, we don't have every sales representative pushing XCaaS. So we start with our -- in our own house, and that's -- when I talk about enablement, I talked about it across our entire sales organization, RFEs, our marketing materials and our partners. So that's -- we're all part of the same team at the end of the day. And describing those benefits of having being able to hit every employee in a company that XCaaS does, having unified administration controls and security across your whole organization, having a single integration framework, having analytics across a single point of accountability and things like the five nines platform reliability that we do across our XCaaS platform, both CC and UC is something that can't be done elsewhere. So it's getting those messages across and ingrained. And I think we -- it's very early. And so that's a huge focus for us from now through the end of the year.
Operator: Your next question comes from George Sutton with Craig-Hallum.
George Sutton : I wanted to make sure I'm clear on one thing. So last quarter, we talked about -- and we've talked for years about integrated contact center and UCaaS capabilities. Now we're branding an XCaaS and I saw the blogs and things you did a couple of months ago on that. I just want to be clear, what has changed? As I understand it, you're building up employee functionality relative to CX functionality. But I just want to be clear, what's different quarter-over-quarter in terms of the actual product?
David Sipes : Yes. So look, there's a number of things like we talked about the five nines platform SLA we launched. We talked about the presence that we added to our Microsoft Teams, which goes across both UC and CC, and these are examples of that integrated framework. And so every enhancement, future capability we bring comes across both UC and CC, and those are elements where we see improvements. And then we're doing all our contact center investments and scalability and polishing our omnichannel capabilities.
George Sutton : Got you. One other thing on Jitsi and some of the newer capabilities you mentioned. I am a believer that much of the market is becoming video first in their decisioning. And I'm curious how much of a lead engine Jitsi is proving to become for the rest of your services?
David Sipes : Just as a newer JaaS is an element that we launched, we have a lot of developers on it we talked about. So I think it's an interesting element for our business that is both a CPaaS offering as well as a free meetings offering. And it also -- those capabilities and that come from the Jitsi or go into our underlying product across all our employee experience elements. So it's -- since it's newer, it's smaller, but it is something that's growing rapidly with the -- you saw the 4x increase in the developer base as an example.
Operator: Our next question comes from Ryan Koontz with Needham & Company.
Ryan Koontz : Circle back to your enterprise strength and customer trends you're seeing there. Microsoft quoted 80 million daily active users on Teams phone, and how you see that impacting the market? And then price points there, I hear about some pretty aggressive price points, and how you're responding to shifts there and how bundling can help kind of prop up the ARPU?
David Sipes : Yes. So on the Microsoft Teams integration, and we are showing wins there. And I think there's like 4 elements that help us differentiate and win in that environment. One is, we're product first, and our innovation cycle continues. We added presence that goes across Microsoft Teams as well as our contact center and employees. And that's in addition to previous things we've announced, such as SMS, MMS and fax, managing call forwarding rules, account settings, logging in and out of call cues and all of these things accessible from the Teams UI. So obviously, the product capabilities are robust, and we keep growing those. I think the second pillar is, we're powering all employees in an organization, company-wide, not just knowledge workers, but also frontline workers, inside sales, contact center agents, and we're doing that globally across 40-plus countries. A third pillar is, we remain aligned and certified with Microsoft. For example, we were the first vendor included in the Gartner Magic Quadrant for Contact Center as a Service that was certified by Microsoft. And then fourth pillar is, we align in a channel perspective with channel partners that are selling the Microsoft offerings such as Ingram Micro or Pax8 or ScanSource or Virgin Media Business. So those are some of the key pillars that we're leveraging to be successful in that market, and it's taken us into a strong enterprise business.
Samuel Wilson: All right. And I'll cover the pricing question. I don't -- we don't really see radically different pricing. Yes, we have occasionally seen a crazy deal across our desk, but our ability to mix and match across that flexibility, across both Teams users, non-Team users, the contact centers, the ability to then have one statement of work with professional services across that old group et cetera, becomes a pretty compelling value proposition. And then when you add the lower total cost of ownership of not having 40 separate carrier relationships around the world or 20 separate carrier relationships out of the world, all those things, the per line pricing just sort of works itself out as being incredibly reasonable for what we offer. So I just -- I don't see any particular pricing pressure from Teams in particular.
Operator: . Our next question comes from Daniel Bartus with Bank of America.
Unidentified Analyst: This is Tanika on for Dan. Congrats on the great quarter. So I was trying to understand the drivers for bundling UCaaS and CCaaS slightly better. Do you guys see the benefits more tied to IT management and simplicity? Or are customers more drawn to the integrations between the two?
David Sipes : Yes. So there's -- it goes across both, I would say. And you get company-wide collaboration by connecting all employees together with experts in the organization as well as people that are talking to your customers. So that's one. From an IT perspective, it powers every employee in the organization, not just a subset of employees, which you can only do if you're a single UC or CC. It also provides a single integration framework for maintainability into your other enterprise applications. It gives you a 360-degree view analytics across the organization, and it also brings a single point of accountability for reliability, quality, global work networks. So those are some of them, I would say, but I think it goes across kind of both users advantages as well as IT administrability manages.
Operator: This concludes our question-and-answer session as well as our conference for today. Thank you for attending today's presentation. You may now disconnect.